Operator: Welcome to the Sybase third quarter 2008 earnings conference call. This call is being recorded. Our speakers today are Chairman, Chief Executive Officer and President, John Chen; Senior Vice President and Chief Financial Officer, Jeff Ross and now at this time I would like to turn the conference over to John Chen.
John Chen: Thank you operator. Good morning everybody and welcome to our call and thank you for joining us this morning. We’ll start the conference with Jeff providing the Safe Harbor language.
Jeffrey Ross: Thanks John and good morning to everyone. Today certain statements we will make will be forward-looking statements which represent our current judgment on future events and are subjects to risk and uncertainties that could cause actual results to differ materially. Forward-looking statements reflect our opinions only as of the date of this call and include statements about our future growth, future earnings, business prospects and other statements regarding future events. Actual results could differ materially from statements we make today for a variety of reasons which are described in our earnings press release and in our SEC filings including our annual report on Form 10-K for the year-ended December 31, 2007 and our Form 10-Q’s for the first and second quarter of 2008. These documents are available under the Investor Relations section of our website at www.sybase.com. Now John will provide an overview for our 2008 third quarter results. Over to you John.
John Chen: Thank you. We'll try to get through this prepared script as quickly as we can. I’m sure a lot of you would like to chat about Q4 and 2009 and if anyone of you thinks it’s not the case, please signal us and we’ll just move on quickly. Anyway, I’m extremely pleased with, the team’s ability to execute well, especially against this very challenging economic background here. We have now delivered our fourth consecutive quarter of record results. Also for the third time this year we are raising our full year 2008 outlook for revenue earnings and cash flow from operations. Over the past few months, I met with some of you and many of you have asked how we are able to do so well in this environment. I’d like to spend a minute addressing this anti-gravity question and I think we can summarize it in three points: First, our value proposition is very, very strong in the marketplace today. We’ve been focusing on innovation and developed technology that help our customers run their business as efficiently as possible. In this business environment, it’s very difficult if you’re trying to sell technology based on headcount and on capacity. Instead, we are providing our customers with new productivity enhancement capabilities. This is one that I think we have talked numerous times with some of you regarding that we’re really not selling based on head counts; we’re selling solutions or horizontal solutions and enhancing capabilities. Some of those are like risk analytics, mobile banking and mobile commerce and enterprise mobile computing, all those areas are getting a lot of interest and certainly good pipelined. In times like this, the enterprise needs analytics to better understand their business, to assess risks. Analytics as you could see from the numbers are probably the shining star of the quarter. They are also needing a lot of mobility for cost effective interactions with employees and customers. I’ll give you some examples as we move along here. Secondly, our competitive position is as strong as it’s ever been. On that note, earlier this year, the industry analysts from Forrester and Gartner highlighted the strength and viability of our ASE and IQ database business. It’s a huge win by the way for Gartner to highlight our database businesses. We are also pleased by Gartner positioning of Sybase in two of this magic quadrant. IQ is now in a visionary quadrant for the current data warehouse magic quadrant and that’s in that particular segment and Sybase is the sole vendor in the latest quadrant for the multi channel SS gateway magic quadrant; that’s a fancy word for mobile middleware. Lastly, we’re diversifying and doing well across our traditional strong verticals. These actually include financial services which many of you probably find it hard to believe, but today we have not seen or we have seen very minimal impact from the recent dislocation in the financial marketplace. We are also doing well in a number of other verticals, including the technology OEM verticals, which is still to-date the largest vertical of Sybase followed by Telco and government. We of course are not immune from a sustained or accelerated deterioration in the financial markets or the overall economy; however, our overall pipeline including in the financial services sectors is still extremely healthy as we enter into Q4. For the 2008 third quarter, we achieved record for total revenue, net income, operating margin, cash flow and among many others. The revenue grew 11% year-over-year to $284 million; split between licensed revenue grew 9% and maintenance and services revenue grew 8%. The non-GAAP operating income grew 18% year-over-year. The non-GAAP operating margin was up to 24%, a year ago it was 22% as we further expanded our leverage. Non-GAAP EPS which rose 17% year-over-year to $0.55 exceeding top of our own guidance. Lastly, cash flow from operations came in at $53.7 million, a record for Q3 by the way and a solid increase of 14% year-over-year. Our database licensed revenue continues it’s robust pace, growing at 15% over a tough comp a year ago. We believe we are gaining market share in the database market on the strength of the IQ Analytic Servers and our recently launched Risk Analytics Platform or we call it RAP. Since the launch in May and many of you had came and witnessed the launch, we have now signed up the 11 institutions to use RAP. Additionally, we closed our first transaction for the IQ Analytics appliance, which was also by the way released in May, which went GA in Q3. The IQ appliance is just as a reminder. It is the collaborative offering from IBMP series, MicroStrategy as well as a number of large IBM reseller, of course with Sybase technology. We’re seeing very strong interest and pipeline build there. We added a total of 44 new IQ customers in the quarter. The IQ momentum continued and now many places including in the Korean financial vertical with a very nice follow-on orders for Kookmin Bank. Now Kookmin Bank is the largest retail bank in Korea. Other notable IQ wins in the quarter include a Cintron mobile communication company, and a U.S. Department of Defense, which also makes a very significant IQ purchases for use in data analytics in the quarter. With ASE 15, we’ve seen strong uptick from our installed base continuing and production deployments are actually accelerating. This sets the stage for further adoption of ASE option by our enterprise customers. To give you an example most recently we were involved in an account of the company called books.com, which purchased ASE encrypted column option in Q3. New ASE wins also continue at a very healthy pace. We added 229 new customers in the quarter including the Taiwan Future Exchange. On a mobility side, iAnywhere experienced strength in Repeat business as existing customers extended mobility with their enterprise. Repeat business accounted for approximately 80% for the segment revenue in the quarter and including such customers as Metronic’s and China railroad. While new iAnywhere business is more sensitive to the macro headwind, we are encouraged by our long-term growth prospect in this segment and I’d like to kind of point out in three particular kinds of reasons why we’re still very bullish of the iAnywhere business. First of all the iAnywhere pipeline, both in new and repeat customers continues to grow. Launch OEM deals involve our embedded, small footprint database, as well as interest in device management and security have contributed most significantly to the pipeline growth. Secondly, we’re seeing large enterprise adopting mobile computing. I’ll give you few example in a quarter; the Indian center for railroad information system, as well as the U.S. Air Force in Q3, those are actually two big wins for us. I would like to spend a minute on the Air Force win, in particularly. This involved obviously a long journey, but it involved a number of our iAnywhere product in a major new logistic and a mobilization project currently started under way. This was a very competitive win that validates our value proposition in enterprise mobile computing. It also provides us with a good opportunity to expand in use of Sybase mobile technology within the United States armed forces. Lastly, the growing adoption of smart phone such as the iPhone, Blackberry, Google Android which by the way is supposed to go on sale of this week sometime, HTC and other platform, points to attractive long-term growth prospect in the enterprise mobile computing. According to the recent information week online survey of the business technology professional, 30% of the telecom users say they use the device for enterprise connectivity and 37% increasingly leave their laptop at home in favor of the smart phones, I’m one of those 37% now. So we expect to benefit from this trend with our end-to-end enterprise mobility suite as well as our forth coming Sybase end wire platform, which I will cover a little bit later. As the market leader, we will be in a great position when this market starts picking up. 365 messaging revenue grew solidly 30% year-over-year to 44% or $1 million. Secular and business trends continue to work in our favor. A news and Mobile survey reported that a typical U.S. mobile subscriber, now extensively receives more SMS messages than they do mobile voice calls. We see an up tick in the number of enterprise adopting our messaging services. For example, we’re building and expanding on our relationship with Citigroup, with new messaging wins in Europe, Asia and North America. Since the launch of our M banking initiative at the beginning of the year, which obviously the underpinning of a lot of the message falling going forward, we have now signed up 30 institutions to offer their customers the ability to receive alerts, transfer funds and pay bills via their mobile devices. Another exciting enterprise wins, we call it AM business, is Mirror 3. Mirror 3 is a global company serving over 5,000 customers, including Fortune 500 global 2000 customers, many colleges and universities as well as government agencies. They will be using Sybase 365 platform for immediate large scale dissemination of timely critical information through the text messaging methods. This is a great example of the expanded use of messaging by enterprise for mass communication. The examples by the way includes, alerts related to emergency management, business continuity, disaster recovery, logistics as well as customer relations automations. They chose 365 for OAI30, the worldwide reach and the efficiency of our global network. Now, I’d like to spend a few minutes on some recent and upcoming initiative, which are expected to drive short and long-term revenue growth for Sybase. Let’s start with the Sybase Unwired Platform; we call it SUP here. It’s a joint R&D effort between our IPG, that’s our enterprise group and INE or engineering groups. It took us a while to put the synergy together. SUP combines some of our leading server based and mobile technologies into a fully integrated development deployment and one time solution for mobilizing enterprise applications. The whole platform I think is everything you ever needed or even afraid to ask to help you mobilize and deploy application. The SUP platform was fully integrated with our mobile device management security, the PIM solution and the e-mail capabilities. This solution will go CA this quarter, Q4. This platform is ideally suited for system integrators who are mobilizing application for enterprise clients. Another point of our growth; earlier this month we launched a new Nokia Intellisync Migration program, which is about I think a week or 10 days ago. This program supports existing Intellisync partners and customers, which was affected by Nokia decisions to halt the development and marketing of its enterprise mobility solutions. Nokia customers will receive free copies of the selected information NUS streets components, which include mobile e-mail device management, device security and application enablement capabilities to replace the comparable Intellisync offerings. That means Sybase will honor the licenses which they already paid for. Sybase will have a similar responsibility for the maintenance contract of those new information, NUS suite customers. Jeff wants me to point out, that mean we’re getting the maintenance revenue. This program is being implemented with Nokia’s cooperation and provides us with the opportunity to expand our iAnywhere installed base and up sell to these former Nokia customers. Again, I think the key point here is we’re getting the cooperation with Nokia and so that we could further the collaborations here. The third area of growth is interest in our ASE cluster edition continues to do well to build there. We recently ran a webcast series to our North America customer base that attracted over 1,000 participants, so there’s very strong interest in this area. In Q4 we will be announcing the variety of the cluster edition on the IBM and HP platforms at our upcoming greater China user conference in Beijing. For those of you that happen to be in Beijing it’s November 5 and 6, I think. Early next year we plan to launch IQ15 which will offer new features, including partitioning, enhanced in turn of our processing and other performance improvements. Yesterday we also announced our mobile banking 365 version 2.0 or release 2.0, which provides easier integration with core banking system and enhanced mobile alert capability. Our research indicates only 10% of the US banks today offer some form of mobile banking products, but there are 57% which we spoke with that plan to add mobile services within the next 12 to 24 months. So looking out to 2009, our M-commerce initiative will expand on our interactive mobile banking platform and we’ll also include mobile payment and remittance capabilities. So, in summary, before I turn it over to Jeff, we believe we deliver a very strong and a full consecutive record quarter and we are on track to deliver another record year. I will give you a little bit more color in the numbers after Jeff provides you the detailed financial overview. So, to you Jeff.
Jeffrey Ross: All right, thanks very much, John. Let me spend a few minutes going through some of our numbers for Q3. As John mentioned, our total revenues increased by 11% year-over-year to $284 million. All classifications within revenue increased meaningfully with licensed revenue growing at 9% to $92.9 million, services revenue growing at 8% to $146.3 million and messaging revenue growing at 30% to $44.7 million. All geographies performed well and delivered double-digit year-over-year growth. Total revenue for North America which represents about 50% of our total Q3 revenue grew 10% to $142.6 million. Revenues in Europe grew 11% to $96.8 million, representing 34% of our total revenues and finally, our intercontinental region which includes Asia-Pacific and Latin America grew 19% to $44.7 million, representing 16% of our total revenue. Non-GAAP operating income for the third quarter increased to 18% to $67.7 million and generated 24% operating margin, compared with the 22% operating margin in the third quarter of 2007. Non-GAAP net income for the quarter was $47.2 million with non-GAAP fully diluted EPS at $0.55, a 17% year-over-year increase. On a GAAP basis, operating income increased 19% year-over-year to $52.9 million and generated an operating margin of 19%, up from 17% in the third quarter of 2007. GAAP based net income increased to $34.7 million or $0.40 per diluted share. We continued to generate strong cash flows with operating cash flows for the quarter at $53.7 million, which is a 14% year-over-year increase. We provided a more detailed description of the reconciliation between GAAP and non-GAAP numbers in the press release we distributed pre-market this morning. Additional financial details are as follows: At September 30, 2008 our cash balance was $583.9 million, including restricted cash of $3.3 million. Our GAAP results included a $3.3 million non-cash write-down taken into other income associated with auction rate securities. We currently have $19.3 million in auction rate securities classified on our balance sheet as long-term investments. Capital expenditures in the third quarter were $9.9 million and depreciation was $7.5 million. Capitalized software for the quarter was $11.7 million with amortization at $12 million. DSO for the quarter was 74 days on a consolidated basis, which is consistent with recent levels. Our deferred revenue was up slightly to $202.4 million, reflecting strong maintenance renewals and our growth in licensed revenue, but partially offset by the unfavorable move in foreign exchange rates during the quarter. Without this foreign exchange impact, the growth would have been three or four times as much. Deals over $1 million represented 27% of Q3 license revenues, compared to 21% in the third quarter of 2007 and headcount at the end of the quarter stood at 4,035. Finally, we continue to have $82.9 million authorized in our stock repurchase program and plan to be opportunistic with the use of these funds. Now I’d like to turn the call back over to John; John.
John Chen: Thank you. So let’s go into the forward-looking a little bit. Given the current macro environment, it’s not surprising that many industry analysts and financial analysts have reduced the IT spending expectation for the balance of 2008. This by the way validates the view that we have held for most of this year that we should not be expecting a typical year end budget crush. We have also seen a meaningful strengthening of the US dollar; Jeff took you through some of that. That’s given our strong business pipeline and proven ability to execute and here I have to say the team has really done extremely well. We feel good about Q4 and are on track to deliver another record full year performance. Now our guidance for Q4; we anticipate total revenue in the range of $295 million to $305 million, if this also factors in an adverse foreign currency impact versus our prior guidance three months ago. We anticipated a non-GAAP fully diluted EPS in the range of $0.60 to $0.62 and GAAP EPS in the range of $0.51 to $0.53 which excludes the fact of impairment of auction rate security if any in Q4. Due to our stronger than expected Q3 performance, we are raising our full year 2008 revenue earnings and cash flow guidance for the third time this year. We now anticipate total revenue that range to $1,000,000,122 to $1.132 billion, which represents year-over-year growth of roughly about 10%. Non-GAAP EPS is anticipated in the range of $2.02 to $2.04, which represents year-over-year growth of approximately 20%. The GAAP EPS correspondingly is anticipated in the range of $1.54 to $1.56 with our year-to-date cash flow from operations at $211 million to date. We are raising our cash flow guidance to exceed our prior estimate of $250 million. Before we take any questions, I’d like to offer a few thoughts for the coming years; this is where the wireline comes out. It is clear that the challenging environment and global economy are likely to persist into the next year. Before the late September financial market dislocation, Gartner group in August and Forster in September forecasted 2009 spending growth at 6% -- by the way, that came down from like 10% since the beginning of the year, but within the last couple or two or three weeks, Gartner further reduced their estimate to 2.3%. Many of you have reduced 2009 revenue EPS estimates for enterprise software companies a lot of our peers by 4% to 5% due to FX headwinds as well as economic concerns. With that said, however, we remained committed to generate top line growth and margin expansion. As I said earlier, Sybase competitiveness has never been stronger and we are positioned to take share in 2009. We’re working to ensure that our multiple growth engines in analytics and mobility continues to drive our business. We believe the success of our recent analytics platform can be replicated in the government and Telco verticals beyond just the financial services verticals. We are also positioned to gain share in enterprise mobile computing with our market leadership and scale here providing an advantage over competitors in times like this. It is always our goal to maximize return on both Sybase assets and the total shareholder return. The macro conditions are sharpening our focus on optimizing our resources in a manner that best positions us for growth and profitability next year. Thus the management team is working very hard to identify synergies that could drive higher productivity across all our channel and business operations in 2009. So please stay tuned for more details as we complete our planning for 2009. Later this year we expect to provide full year guidance on our next earnings call in January, not later this year. We’re going to provide it next year, at the beginning in our earnings call. Operator, we are now ready for the Q-and-A, please.
Operator: (Operator Instructions) Your first question comes from Terry Tillman - Raymond James.
Terry Tillman: John, in terms of the core database business, last quarter you actually did provide a fair degree of delineation between the database and the data warehousing business. So, could you maybe talk more specifically of the core database business and then secondly, if you are starting to win more business or more share within either existing accounts or even some new business, new logos, what are those conversations involving? I mean, is it relative cost advantage of you all, is it the new features; any kind of like anecdotes in terms of some of these accounts and why they’re spending more on Sybase?
John Chen: Let see the first question; I don’t have the number in front of me, it’s not a scientific, but from what I can remember, with the pipeline at Tier 1, it’s probably above half and half, a lot about IQs and options selling for ASE 15. So, I don’t really have a major departure on that.
Jeff Ross: Yes, I mean IQ would have grown slightly at faster rate than ASE, but together they grew, but it’s a smaller number.
John Chen: On an absolute basis, I think the growth comes pretty much equally. IQ does win more deals, Jeff is correct, yes on the win rate basis and then the other one is all on features. Cost obviously is something that everybody talks about, but if you get into a cost discussion, the chances of closing a deal on time, is more difficult, so it’s really more feature driven at this point.
Terry Tillman: Okay and then Jeff in terms of the S365 business, my calculations were it was lower than 40% type growth gross margin. What’s behind that and is it something related to the mix of business and how should we think about gross margin and op margin maybe into the fourth quarter into that business?
Jeff Ross: On a quarter-by-quarter basis those will move around a little bit as the mix changes. So, it really was a mix issue away from PM and towards international and AM business, which has a lower margin profile, especially international business that has termination fees. So, on an overall basis, nothing from our perspective alarming in that regard and we do expect some movement over the quarter; we tend to focus again much more on the operating margin, which remained relatively consistent to slightly up.
Terry Tillman: I think the prior comment in the second quarter was the original guidance was 10% to 12% margin in that business and you were expecting maybe something at the higher end; is that still a call or is it more you’ll just hit the target?
Jeff Ross: No, that’s consistent. I mean we expect to be at the high-end of that range.
Terry Tillman: Okay and then John, just the last question, as it relates to ’09. You made it clear you’re not given ‘09 guidance, but could you maybe update any commentary on either the IPG or iAnywhere segments in terms of what you think is a sustainable growth in the future and I guess some I’m curious as its relates to the idea of taking share, if that does change the growth outlook for IPG and more structural basis like at the higher growth outlook.
John Chen: I don’t really want to provide numbers without getting a bottom’s up from everybody, but we do expect the database continuing to growth next year. Despite the fact that we know we’re running up against pretty tough comps but structurally IQ growth, RAP is a good response from people. We have a few new options coming through in the ASE world especially the cluster will take full shape in 2009. I think the features-wise, we feel comfortable to continue to enable our conversation with customers and prospects alike. IBM is helping a lot in new businesses; although their business is small because a lot of them go through their reseller channels, so we do expect to grow that. iAnyway is the same way. We’ve been working very hard with system integrators; I believe that we will see more of that business coming through next year. So that said, I mean I’m just talking about structurally fundamentally and if the economy goes a leg down, like somebody would said that yesterday to me; other lick down and of course we can’t really sustain everything we talk about because of the economy, but I believe that we will grow and the only negative against us right now is the currency headwind and nobody knows that, but on a constant dollar we’re very confident we could grow our business, in all three segments by the way, not just what I said, not just IPG, not just but iAnywhere but 365 also.
Operator: Your next question comes from Trip Chowdhry - Global Equities Research.
John Chen: Lehman.
Trip Chowdhry: The reason I was saying is, if there is a chance that you may be able to recover some of those because like Bank of America, Merrill Lynch and other guys are buying back their auction rate securities, so do you think those $19.2 million you mentioned something could be recovered or probably it’s all gone?
John Chen: Yes, Jeff just pointed to me because they know how emotional I am on this subject so you can see. Yes we’re taking something called the other than temporary impairment. In fact, I believe the auction rate securities that we’re holding right now, the total portfolio some $27 million, majority if not all of them will come back. So we’re just being prudent and working within the GAAP rule to write some down. So we are getting the interest payments, so there’s nothing, like no default. Lehman it was just the agent, the underlying security is not Lehman and so I don’t know what else to add to the fact that these are really not “bad assets” at this point, but they are troubled and we should be able to see it come back. Sybase has no needs to liquidate these assets and no plan to liquidate these assets, so these lots will come back; we’re just temporary recording it.
Trip Chowdhry: Okay, the second question I had was on the macro conditions in fiscal year ‘09 and of course the data points are saying there is going to be some macroeconomic impact. I was wondering from your own point of view, if you look at latest verticals and various geographies; do you see any geography or any vertical who would be less impacted versus the other vertical sectors in various geographies?
John Chen: Yes, so the Gulf area, the brick country for example and some of the Asian economies and the Middle East economy for our distributors there, they seem to be less concerned, not to say that they are not concerned, but they are less concerned. Yesterday, China reported GDP at 9% growth, today it’s a little bit slower, but they wanted to become 8% to 10%, so I think they were kind of grounded. Their internal demands are very high in that country and I’m sure so is India as well as Brazil. So, I think things are going to be less impacted from a negative point of view from some of the growth countries. I think in the established economy, we really aren’t as negative maybe in the United States. Europe it’s because of currency headwind; that could be troublesome. When I talked to other CEOs and I spoke with a couple of them yesterday, where we are lamenting the fact that this wind is pretty strong against us and I think people mostly are worried about the EU kind of cramping down, spending next year, as well as the currency headwind and that’s probably the weakest spot in the whole economy.
Operator: Your next question is from Kirk Materne - Bank of America.
Kirk Materne: John, can you just talk a little bit about, since you’re one of the first software companies to report this earnings season, if you guys saw anything really change this last couple weeks of September and as you look out to the fourth quarter it sounds like your pipelines are obviously very strong. Have you guys sort of pulled back a little bit in terms of just what your close rate assumptions might have been for the fourth quarter just given the macro environment? I understand you guys have executed really well, but a lot of these things maybe out of your control. I’m just trying to get a hand on how you’re sort of balancing that all?
John Chen: Sure, absolutely. I’d say if you wait till the last minute, September the last two weeks were tougher. Although it’s not a tough case like back in the 2003 time frame which nobody wants to talk about anything? This is a little different, it’s just taking a lot more conversations and it seems to be a more cautious buying, so that’s that. If there’s a reason for our customers to delay purchases, they will come up with it in September. The good news for us is we have our linearity planned pretty well around the world and our business volumes were very strong, we don’t have to press every deal through; so the pipeline strength is really helping us here. We’ve seen that process in the last three or four quarters already. So we’re assuming kind of the same environment going into Q4 in which things are going to continue to take longer conversations. We have factored that into our gross rate and we are comfortable with the guidance we provided.
Kirk Materne: Great, thanks for the color on that and then just Jeff, maybe a question for you. Services revenue was down just slightly I think Q-over-Q; with licensed revenue growing so strongly over the last year I would have thought that is that just professional services revenue kicking down slightly? Is maintenance still increasing sequentially? I would just think that that line item actually might have moved higher on a sequential basis?
John Chen: No it was both professional services along with a little bit of FX headwind on that too, so nothing unusual, though.
Kirk Materne: And then just last question for maybe for John just on the Sybase 365 business, this is the first time we’ve seen it down sort of sequentially, Q-over-Q it’s obviously been growing very fast. Is that just normal sort of seasonality trends in the third quarter, given people are on vacation, there’s less holidays, those kinds of things. It sounded like from Jeff’s remarks, that the U.S. business was maybe a little bit slower in the third quarter?
John Chen: No, I don’t think Jeff’s meant that, right Jeff?
Jeffrey Ross: No.
John Chen: No, there were a lot of campaigns. If you look at the Q2 number, it grew 41% year-over-year on 365 and the reason of that was towards the end, right before the summer, there were a lot of content campaigns by our customers, especially in Europe, so you’re correct and then that was preparing for right before we get into the summer season and in the summer season, those campaigns already ran so we didn’t get the revenue then we got the revenue in Q2 and so it’s a little bit of seasonality, it’s a little bit of the FX’s, but nothing that set a trend that are negative. We expected a reasonably good quarter in Q4.
Operator: Your next question comes from Brent Williams - Benchmark Company.
Brent Williams: A couple of the large carriers we’ve heard are now going to start charging a surcharge to large commercial customer for sending huge amounts of text messages. Do you think that’s going to be a widespread phenomenon or do you think that’s just a bargaining chip and does it have any effect on the 365 business?
John Chen: Okay. Number one, we checked with the most notable one which is Verizon. I think their statement now is they have not decided they would do that yet, but I’m not surprised one way or the other. I think they may just come through and charge it anyway. I think this is a charge that although from a percentage basis seems to be very high, but on an absolute basis, are something that is attributable by the businesses. One way or the other we’ll pass through the businesses to the consumer and so forth. So my sense or our team’s sense is it’s not going to affect our business negatively and with the volume we’ll be up taking as we see the trend of enterprise using messaging such as up taking. Whether it’s a bargaining chip on their part or not sure I’m not sure, I’m not in that part of the business.
Brent Williams: And in bouncing around, on IQ15 coming up next year, since IQ15 or IQ is one of my favorite things to think about, are you seeing sort of the major thing being cluster support or are you going to try to sneak in like update performance which is an area where this kind of database is typically not focused? Is that something that you’re now going to start doing?
John Chen: 15 is very focused on parallel processing and performance.
Brent Williams: Okay and then lastly, what kind of Euro exchange rate are you using in Q4 for your guidance?
Jeff Ross: Pretty close to the spot rate right now. So, as you know the dollar has strengthened about 15% since the end of Q2 and we’re not expecting it to move materially one way or the other from where it is right now.
Operator: Your next question comes from Ross McMillan - Jeffries & Company.
Ross McMillan: Just on the database side, I guess we heard you talk about maybe something like an 8% to 10% growth rate, but clearly year-to-date you’re blowing through that number and the business is performing really, really well. If the environment really was unchanged, do you think that you’d have conviction to say that the business could continue to grow at the sort of trailing rate that we’ve seen this year or do you think it would slow just by the law of large numbers? I’m just trying to get a handle on, if we put the economy to one side, what do you think you could be growing that business at?
John Chen: Because of the large numbers; I’ll be planning on a more moderate growth rate going forward on the database. The market is actually pretty good and I think you see it with a number of peers that have said that database business are not that bad and so the markets are good, people are buying, features are tracking. I would say because of lower big numbers, as well as the times that we’re in, it’s best for us to assume that we’re going to go back to this kind of 8%, 10% growth rate.
Ross McMillan: Okay and just on IQ, are you successful in selling it outside of the ASE base or is the…
John Chen: I’ll say that the majority of the transactions are outside the ASE base. Majority of the transactions is actually outside the ASE base.
Ross McMillan: And then just one last one Jeff, just on the cash flow, I saw there was a payment of I think $22 million, $23 million associated with a business purchase. Could you just remind me what that was?
Jeff Ross: Cable & Wireless; we talked a bit about it on the last earnings release, that was a 365 acquisition in Europe.
Ross McMillan: Was that a material contributed to the 365 revenue or not at all?
Jeff Ross: No, not at all.
Operator: Your next question comes from Steve Koenig - Keybanc Capital Markets.
Steve Koenig: Just looking for a little color on some of the business as well as a little additional color. First on the database business, it looks like database licenses grew about the same pace as overall IPG licenses, which if I recall correctly is probably the first time in a while that the other products haven’t been a drag. Do you expect that to continue; a little color and what was the growth contribution from other non-database products?
John Chen: Yes, we have a couple of good middleware buy in the quarter. Good observation by the way, Steve; that's great for you. I didn’t think that people would just focus on that level of detail, but you are correct. The answer is, I would not factor in, I would not assume or presume that that will be on an ongoing basis.
Steve Koenig: Okay and then on mobility that was down year-over-year, even if you kind of normalized it was pretty flattish. Is that going to turn around near-term do you think and should we see some growth in ‘09 out of that, what’s your sense there?
John Chen: Yes, we will see no growth in ‘09 out of it. My senses are, pretty strong. This is taking a lot of my time working on it and I believe that this is a good value asset for Sybase.
Steve Koenig: Let me make sure, did you say you don’t expect to see growth in ’09, but you’re working on it?
John Chen: No, no. I do expect to see growth in ‘09. We better grow in ‘09.
Steve Koenig: Okay and then lastly, on messaging and then just a follow-up question on margins. The European application messaging business, do you expect that to be relatively intact and also the Facebook business, despite what Verizon does?
John Chen: Yes, we don’t have any concern about the Facebook accounts and the business there. I think the European content business will probably slow as the economy slows, but the enterprise up tick will be higher and then they will by-and-large be intact; the word is a good word.
Steve Koenig: Okay, great and then lastly on margins, do you think in an environment where revenues growth gets pressured a little bit, will you potentially shoot for a higher margin expansion then kind of the one point that you typically guide to?
John Chen: Yes, that’s what was the comment that I made early in my script. We are working very hard to look for more cost synergies in the company for two reasons: one is, if the economy goals sustain to be negative for longer time, we could continue to improve our margin year-over-year in ‘09. Whether it’s going to be better than 100 basis points or not, that’s a kind of depending on the top line growth in the economy. So, you will probably see more and more synergy and alignment in our company and organization how we go to the market and so forth in early 2009, which is what I’m working on right now.
Operator: (Operator instructions) Your next question comes from Roger Duncan - George Weiss.
Roger Duncan: I have a couple questions. I understand that fourth quarter guidance does not contemplate budget flush, but to the extent that it does occur. I mean, what could that’s mean for your business? I mean, could you talk about that in a historical context?
John Chen: We will come at a higher range or slightly better. I’m not trying to be funny about it, but we could see the business in the close rate scientifically that we could see ourselves in the range that we forecasted and/or we guided just now and that does not assume any negative movement of FX just like Jeff pointed out, but it does assume that the FX is already factored in from a year-over-year perspective. In addition to that, we don’t expect any budget flush. We expect a close rate to be a little bit moderated just like when Kurt and I had that discussion earlier. So, if there is a real budget flush coming through or if we’re wrong in that assumption, we will see obviously higher revenue and therefore other good records.
Roger Duncan: And then my second question is just with the obviously with large trading volume in the stock market in early October, how should we think about the opportunity in terms of potential, additional capacity expansion from the financial vertical? It seems like it should be a positive for you guys.
John Chen: Well, kind of. So, there is a slight positive effect, but realizing most of the transactions of our customers on Wall-Street are on very long-term site licenses. So, it’s not like you’re charging it as it goes. So when we come to renew time, this will be a good discussion to have. Typically, we will get more revenue or new revenue from an existing license if they, for example expanded to a different site. Some of them are not covered. So, the way to increase revenue is really by providing new features in these site license agreements.
Operator: Your next question comes from Ross McMillan - Jeffries & Company.
Ross McMillan: Just one quick follow-up; we’re obviously seeing consolidation in the financial services industry; to what extent do you think that might create any capacity overlap in terms of core ASE or other products within the institutions that are maybe consolidating others or do you think that’s a non-issue? In other words that one plus one is going to equal two so it’s really not a problem.
John Chen: Yes, Ross, that’s a very good question. The answer to your question is we don’t know the long-term effect of this yet; that’s the real answer to your question, but short-term wise after talking to various people like between Lehman and Barclays, JP Morgan and Behr and the whole situations we’re very close too, we have not seen a negative impact or noticeable negative impact yet, so far the conversion is still about “we need those systems running, we have volume attached to it, we’ve got people attached to it” and so forth, so I think the long-term if I would have to see what ‘09 looks like when all these institutions are trying to settle down with their integration. That said, remember this is why our strategy are not based on the business as usual strategy for our growth. In ‘09, time and time again it’s important for us to add features to our existing offering, so that we could offset any negative, if there is any and if there is none, there isn’t none or not as severe as no most people will think then we will get a up-tick or upward momentum, so that’s the strategy of our company right now for ‘09 as we look at this, but having said that, just remind everybody, financial was about 20% of our business and it’s global and that 20% is spread globally. So where there might be some consolidation in the North American space an even in the European space, we’re still getting good penetration in Asia like in Korea or in Taiwan, which are two examples that we pointed out today. So, there are some offsetting effects on that but we’re not blind to it.
Ross McMillan: Okay, when do you think it will become clearer? Do you think it’s going to be around the end of this year? In other words, you’ll know by the time you guide or is it just in your answer?
John Chen: No, we will provide as much information and color, whatever information we could gather at that time. My sense is we won’t see that until renewal time, so it is from a kind of account-by-account basis and site-by-site basis. Some of them will be very obvious, quickly, like bear which was a customer and Lehman which is customer, so those will become a little bit more obvious in the short-term. Over the longer term, like the Washington Mutual, this and any other, not like we do a lot of Washington Mutual, but the longer terms we’re going to still wait and see when the site renewal happened.
Operator: Your next question comes from Steve Koenig - Keybanc Capital Markets.
Steven Koenig: Just one more from me; john you gave a little commentary on why is the Sybase was doing well in databases. It seems like the overall database market is doing pretty well and I wondered if you could give a little more color on what’s driving that? Is that the people have no choice or is that the data volumes and transaction volumes are increasing and do you see any difference in like overall market growth between transaction and analytics?
John Chen: Right, we see more market demands on analytics, but the transaction volume also drive higher and data aggregation was also a strong push on it and also compliance. There is also a lot of requirements on compliance reporting.
Steven Koenig: Can you make any generalizations about, why the overall database market seems to be holding up better than other markets apart from Sybase’s strong performance?
John Chen: As I said earlier, I think almost everybody has done reasonably well, at least the major database company done pretty well. I actually think that might be because of the mission criticalness of the database’s underlying technology from a lot of the apps that are critical to the operations.
Operator: Your final question comes from Brad Sills - Barclays Capital.
Brad Sills: Just a question on the new clustering option, just any color on how reception has been on that; I know at this point it’s really just a pipeline story, but how has that been received and what are you kind of baking in if anything in the Q4. I think you’ve set out long, a material contribution in the second half of this year, so obviously that would be not much in Q4, but maybe if you could comment on what you expect in 2009 in terms of attached new deals or whatever color you can provide?
John Chen: Right. So, our planning process has always been any features that we release. We expect about 30% up-tick from our installed base. We don’t expect a lot in Q4, we have roughly about I think mid-teens to high-teens account running the cluster right now. A lot of them are still on the migration and beta process; that eventually will turn into revenue of course. My one point that was important is that as I said earlier, we have a webcast in North America, just North America only and on the clustering technology, they’re allowed a lot thousand participants on the call and so I think this is one that people really, really wanted to know more about and cluster of course does a few things: (1) it protects your investment you already made; (2) it give you added features and enhancement in terms of performance, as well as reliability or backup in this two things; so those are two major functionalities. In times like this, everybody wants to get the best. They don’t want to throw away their old systems that they already paid for, that’s running and then if they could somehow squeeze more out of it, it would be something they would be very interested in and of course cluster approach is the easiest way to get there. So having said that, we do expect a reasonable up-tick in ‘09 for the clustering technology and it’s going to be one of the cornerstones together with the timed series and M memory database are the three kind of the driving factor of why we believe our data business on ASE could continue to grow.
Brad Sills: And then just a last question on iAnywhere; you mentioned that that’s a focus for you personally and what do you think needs to happen there to get this business to really scale? What are the hurdles? Is it still just an SI channel story?
John Chen: I think this is a channel story. I think the leverage from our perspective has got to be through a system integrator or through very, very large application value added resellers; for an initial time period, until the market is such that every fortune 2000CIO wants to call us in and wanted to know how you do this and how you do that. Until that time, to grow this business it’s got to come from leverage and I’m working on the channel leverage right now.
Operator: And no further questions. John Chen, any closing comments?
John Chen: Thank you for joining us this morning. I’m sure I’ll talk to many of you if not all of you and hope to give you more good news in 90 days. Have a good day.